Operator: Good morning. My name is Jonathan and I will be your conference operator today. At this time, I would like to welcome everyone to the Pason Systems Inc Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] And ladies and gentlemen, the contents of today's call are protected by copyright and may not be reproduced without the prior written consent of Pason Systems Inc. Please note the advisory is located at the end of the press release issued by Pason Systems yesterday, which describes forward-looking information. Certain information about the Company that is discussed on today's call may constitute forward-looking information. Additional information about Pason Systems, including the risk factors relevant to the Company, can be found in its Annual Information Form. Thank you and Mr. Jon Faber, CFO, you may begin your conference.
Jon Faber: Thank you. Good morning and welcome to Pason’s fourth quarter 2014 conference call. I’ll pass along regrets from Marcel Kessler, our Chief Executive Officer, who is currently under the weather and unable to join us for this morning’s call. With me here in Calgary is David Holodinsky, the Head of our Canadian business unit; and on the phone we have Chad Yetka, our Chief Operating Officer. I’ll start with a high level overview of fourth quarter and full year performance after which I’ll dive into a more detailed look at the financial results. Then finally, I will conclude with an outlook for the business before taking questions. Pason demonstrated very strong operational and financial performance during the fourth quarter of 2014. Quarterly revenue of $138.2 million and net income of $47.2 million, or $0.57 per share, represent record quarterly results from Pason. Drilling activity in North American land was higher than a year ago, although active rigs started to decline in the United States in December. An increase in U.S. market share, continued success of the new Pason Rig Display, growth in the communication segment and strengthening of the U.S. dollar relative to the Canadian dollar contributed to revenue and income growth in the fourth quarter. In addition, a recovery of stock-based compensation expense of $20.6 million positively impacted income. However, this was largely offset by an impairment loss of $14.9 million on what we believe is excess quantities of rental equipment, driven by our outlook for the industry. Full-year results for 2014 were equally impressive. Revenue for the year was just shy of $0.5 billion and EBITDA of 50% of revenue, net income of $112.1 million, or $1.34 per share and return on equity was 26%. We continue to make important investments in product development, our technical infrastructure and our support capabilities. As a result R&D, IT, and corporate service costs were increased. Capital expenditures for the year were $121 million, the bulk of which was directed toward new hardware that that’s generating incremental revenue or saving operating costs for our customers. This includes the deployment of Pason Rig Display, the Enhanced Pit Volume Totalizer and the Versatile Services Platform, the evolution of Pason’s communications and computing infrastructure at the rig site. For 2014, Pason declared dividends totaling $0.64 per share, an increase of 21% from the previous year. This represents an unbroken track record of annual dividend increases since 2003. On December 31, our cash position stood at $144.9 million and there is no debt on the balance sheet. I will now review the detail – financial results in greater detail. Consolidated fourth quarter revenue of $138 million represented a record for Pason and was up 29%, compared to the fourth quarter of 2013. Increased industry activity, increased penetration of existing products and the introduction of new products, expansion in U.S. market share and the strengthening of the U.S. dollar relative to the Canadian dollar, all contributed to revenue growth in the quarter. EBITDA for the fourth quarter of $59.1 million was up 8% from EBITDA of $54.5 million in the fourth quarter of 2013 and down from $76.1 million in the third quarter of 2014. I would note that our reported EBITDA of $59.1 million is not adjusted for the effects of the $14.9 million asset impairment charge in the quarter related to the quantities of rental assets considered to be in excess of what we believe will be required for the current industry outlook. Depreciation expense in the fourth quarter increased 28% year-over-year, owing to the initial depreciation related to our significant 2014 capital program and the amortization of previously capitalized R&D investments related to products, which were commercialized in 2014. Net income for the quarter of $47.2 million, or $0.57 per share, was $22.9 million higher than net income of $24.3 million, or $0.29 per share, a year ago. Sequentially, net income increased 78% from $26.5 million, or $0.31 per share, in the third quarter. 2014 revenue of $499 million was an all time high for Pason, up 24% from annual revenue of $403 million in 2013. EBITDA of $261.6 million for year was up from $136.6 million 2013. And again, I would look that the 2014 reported EBITDA is not adjusted for the aforementioned impairment of excess quantities of rental assets. Net income for the year totaled $112.1 million, an increase of $88.4 million from net income of $23.7 million in 2013. Corporate expenses including R&D and IT were higher year-over-year due to planned investments in our business infrastructure and systems as well as expanding of our business development capabilities. The decline in the company’s share price in the fourth quarter resulted in a $20.6 million recovery to income, owing to the mark-to-market accounting treatment of our stock based compensation. Annual stock based compensation of expense of $19.5 million was down 40% from $32.5 million in 2013. Turning now to the U.S. business unit. In the fourth quarter, the U.S. business unit posted quarterly revenue of $83.1 million, an increase of 39% over revenue of $59.8 million in the fourth quarter of 2013 and up 5% sequentially from $79.4 million in the third quarter of 2014. Strong revenue growth in each of our major product categories was a result of greater product penetration, a 9% increase in industry activity, continued growth in U.S. market share and the strengthening of the U.S. dollar. Growth in the communications category and increased penetration of EDR peripheral devices again led revenue gains during the quarter. Quarterly operating income of $45 million was up $14.1 million from operating income of $30.9 million in the fourth quarter of 2013 and down 2% sequentially from $45.8 million in the third quarter of 2014. Annual 2014 revenue for the U.S. business unit totaled $298.4 million, up 29% from $232 million for the same period in 2013. For the same period, operating income of $164.4 million was $50.5 million or 44% higher than operating income of $113.9 million in the previous year. Our Canadian business unit is our second largest business unit representing 29% of revenue for the year. Fourth quarter revenue of $40.3 million in the Canadian business unit was up 16% year-over-year from $34.9 million in the prior year period and up 4% sequentially from third quarter revenue of $38.6 million, a 4% increase in industry activity, coupled with greater product penetration, help to drive increased revenue in the quarter. Operating profit for the Canadian business unit of $19.2 million was up 14% year-over-year from $16.9 million in the fourth quarter of 2013 and down $2.2 million from operating profit of $21.4 million in the third quarter of 2014 due to higher depreciation and amortization expenses in the fourth quarter. The Canadian business unit posted revenue of $146.6 million in 2014, up 16% from annual revenue of $126.6 million in 2013, while operating profit of $75.5 million for the year was 19% higher than $63.4 million in 2013. Increased industry activity in greater product penetration combined to drive year-over-year revenue increases in the Canadian business unit. In our international business unit, increased product penetration and higher activity levels drove strong results in the fourth quarter. Revenue for the quarter of $14.9 million was 16% higher compared to $12.8 million in the comparative period of 2013. Sequentially revenue was $1.2 million lower than the third quarter of 2014, as third quarter revenue included the receipt of a $1.5 million payment related to contractual foreign exchange and inflation related adjustment. The company saw strong revenue growth in each of its major product categories and each of its geographic regions: Latin America, Australia and the offshore and frontier regions. Segment operating profit of $4.6 million in the quarter was essentially unchanged from 2013. Annual revenue in the international business unit totaled $54.3 million, up 22% from $44.5 million in 2013, while operating profit of $18.3 million was 82% higher compared to operating profit of $10.1 million in 2013. I'll briefly review capital expenditures and the balance sheet. 2014 saw the largest capital expenditure program in Pason’s history as the company built out its suite of new products, most notably the Pason Rig Display, the Versatile Services Platform and equipment related to the enhancement Pit Volume Totalizer. We also made significant investments in the company’s business infrastructure during the year. Capital expenditures of $46.6 million in the fourth quarter were $26.5 million higher than the same quarter in 2013. Capital expenditures for 2014 of $121.1 million increased 71% from a total of $70.7 million in 2013. At December 31, we had positive working capital of $207 million including our cash balance of $144.9 million. In the fourth quarter, we made two cash payments related to the dividends as the company moved to paying the dividend in the same quarter as the record date. There is no debt on the balance sheet. I’ll conclude with a few comments regarding our current outlook. In light of the severe market downturn, the short-term outlook is, of course, less optimistic. The declines in E&P capital spending and drilling activity are significant. The contraction of land rig counts in North America continues to accelerate and is more dramatic than in 2009. Pricing pressure is mounting. The supply/demand imbalance that caused the decline in oil prices continues to persist. In fact, oil production is still increasing, led by U.S. shale. Absent a shock to the supply side, it may take some time for this imbalance to work itself out. We anticipate that drilling activity, especially in North American land, will continue to fall and may remain at much lower levels for an extended period of time. The quick recovery we experienced after 2009 looks unlikely in this environment. Pason is not immune to these forces. We will experience a contraction in revenue and margins going forward. Given that there will be significantly fewer active drilling rigs; we are reducing our 2015 capital expenditure budget to $65 million. $31.0 million of this budget is directed toward new hardware, $24.4 million for maintenance capital, and $10 million for capitalized R&D. We are holding our quarterly dividend at $0.17 per share. To lay the foundation for future growth, we will continue to make targeted investments in new product development, service capabilities, and technical infrastructure. With our excellent product suite, distinctive service model, technical capabilities and pristine balance sheet, Pason is well positioned to weather this storm and emerge even stronger. And we’d be happy to take any questions at this time.
Operator: [Operator Instructions] Your first question comes from the line of Steve Li with Industrial Alliance. Please go ahead.
Steve Li: Good morning, Jon. First maybe can you tell us given the current environment, is there any product that should fair better? And so there is still some demand despite the fact that most of your products are on a rental basis?
Jon Faber: I think all of our products are related to the drilling activities, Steve. So there is not anyone particular product that I would point to, what I would say is that we do see opportunities in this market in some of our segments including in the communications space where there are some third-party providers on the rig. We think we maybe able to enhance our service offering and sort of have increased penetration of some of those products through the displacement of other third-party service providers at the rig.
Steve Li: Okay. And maybe given the [indiscernible] could you maybe share your plans in terms of pricing and maybe product release? Are you guys still going ahead with some product release that you guys have been working on in the past years?
Jon Faber: I’ll maybe handle those questions in reverse order. So talking about the product release, I think, we’re going to continue to make continued investments in some of these products that we’ve been rolling out through late 2013 and throughout 2014. And we’ll continue to saturate the market further with some of those products. I don’t think we’ll look to rollout any material new product into a particularly depressed environment as we would establish a price level in that environment versus sort of deferring to a more attractive environment for some of these material new products. In terms of the pricing side, I think the priority from our perspective around pricing is to engaging customers in constructive dialogue in opportunities to say them costs more globally and so we think about the question about displacing potentially other third-party providers with a Pason offering as part of that discussion. And our priority in all of those discussions is to ensure that our high value and newest products remain active in the field and customers continue to have experienced exposure with those products. So maybe turn to Chad Yetka and Dave Holodinsky to provide any additional color in either the U.S. or Canadian markets, so Chad, I don’t know if you have any further comments on the pricing side.
Chad Yetka: Yes, thank you Jon. Steve, I just – Jon gave an excellent synopsis of where we currently stand. The severe contraction and the pricing compression [indiscernible] to that, but by the same token we are sitting down and having value based conservations with all of our customers. There is an opportunity. Jon mentioned one of them for us to enhance the value of the service that we deliver and that’s being in the communications segment. There is plenty of opportunity to consolidate the number of players on the rig and we offer an excellent service in doing so. Another good example of that would be our gas analyzer, which offers a very cost effective solution for analyzing the drilling solutions on the rig and it’s an excellent opportunity for us to talk about that cost effective solution. We’re getting some traction on that. Overall, we are – I’ll just restate we are not immune to the pricing pressure, but we offer an excellent value on the rig and our customers are recognizing that. Dave, do you want to add anything?
David Holodinsky: Sure, thanks Chad, good morning Steve. It’s interesting for us in Canada. This is typically a time where we don’t have a lot of discussions with our customer because they’re very busy with the winter drilling season and then this year obviously presents some different dynamics. So, we’ve had very good conversations with all of our major customers. And clearly, there is some expectation of price concession. And we’re meeting those in a variety of ways. We have offered some discounts on some parts, which they would expect. We’ve also tied some of those discounts to quick pay. So we’re taking this as an opportunity to increase the rate of our receivables and manage our DSO as well and we are also rolling out some new products at a slightly discounted price. We think we’ll get further traction for these products as well as helping our customer re-do of operating cost and they might otherwise not be able to do. So, I think it’s kind of a thoughtful approach and we’re getting good insights from our customers in these conversations about what they like from Pason and what they would encourage us to continue to do as we kind of weather the storm.
Steve Li: Okay. And maybe if you guys can give us some kind of comparisons like back in 2009 would your pricing discounts be similar or is it going to be more or less?
Jon Faber: Well, quite honestly, Steve, it’s little hard. It could be the early stages or certainly not too in the later stages of the downturn, didn’t know where we ultimately would land up. I think we are thinking about it differently in this downturn in terms of having much more of a value-based discussion. And one of the things we’re able to do as a result of having some of these new products rollout and again sort of speaking to the communications of the gas analyzer that Chad mentioned as well. We have a different products today than we would have had in 2008, 2009 as well which positions us better to have that value based discussion quite candidly.
Steve Li: Great and maybe lastly given the new litigation is there any impact on your views on the acquisition and maybe given your strong balance sheet, [indiscernible] changing between – doing M&A or R&D given the evaluation is coming down significantly in the whole sector?
Jon Faber: I think our number one strategic objective that we’ve talked about this for quite a while has been to find an opportunity or a number of opportunities, which are less directly correlated with North American land drilling. I don’t think that objective has changed at all. We do believe there could be some mix of opportunities goes through innovation on the R&D side and potentially through M&A opportunities that may come up. If you look at the broader market and you look at specific sectors, the energy sector has been harder hit than some of the other sectors. So opportunities to look outside of the energy complex are more challenged today than they would have been six months ago, but I do think there is going to more attractive opportunities within the energy space.
Steve Li: Okay. Maybe if I may add. Is there any – if you guys would move an adjacent segments to drilling activities for instance any production data for instance. Would you guys do it organically or would you guys do it through an M&A? Thanks.
Jon Faber: I think we will be prepared to look at either of those alternatives. It will be based on the relative attractiveness of an idea around innovation versus potential acquisition targets.
Steve Li: Okay, perfect. Thank you very much.
Jon Faber: Thanks Steve.
Operator: Your next question comes from the line of Sean Wetmore with National Bank. Please go ahead.
Sean Wetmore: Thanks, guys. Just a follow-up on the outlook and comparisons to 2009 you highlighted in the press release that the rig count has kind of dropped off more rapidly. And I just wanted to get your thoughts on how Pason today is may be more or less immune to the financial pullback its in 2009 I think was kind of revenue down 50%, EBIDTA down 70%. How was the business changed today that it might not be that bad or may be it will be?
Jon Faber: There’s probably two specific things I would point to in terms of specifically around – but one specifically around the U.S. and one more sort of globally – suggest versus 2009. U.S. specifically I think we have a broader distribution of activity. And so, it’s not particularly sensitive to anyone specific region as it would have been in 2009. And so, we would be better positioned for potential regional slowdowns. We do have higher revenue per day from of a wider suite of products. And so we do have better revenue per activity day, which should help us as well. More broadly, our cost base is more fixed today than it would have been in 2009 and a big driver of that has been the growth in the communication space. So satellite bandwidth does remain a large cost for the company and that is a fixed cost. And so, we do have a higher fixed cost based and we will be working with today versus 2009 and maybe the last comment I would make is the international business unit. It is a larger contributor of revenue today. We think there is good growth prospects in a number of our international markets and a number of – if you look to the industry forecasts within different international markets, it certainly would appear that the consensus is that North America is being [indiscernible] by this and some of our other areas particularly Latin America and some of the Middle East is going to be less impacted based on sort of current forecast and thinking anyways.
Sean Wetmore: Okay, thanks for that. And I guess on the international side, I was wondering if you could venture how many rigs you would be on in the Middle East and where that stands as a potential growth opportunity in this market if you can gain market share or how you think about international growth?
Jon Faber: Yes, sure. So I think in terms of the Middle East specifically as you know we entered into a joint venture in Saudi Arabia mid last year, which allowed us to really establish an on the ground presence. And so today within Saudi Arabia itself would be on sort of a dozen or so rigs. And so what that’s allowed us to do is also then to look at regions that surround Saudi Arabia, other parts of the Kingdom and other countries in that broader Middle East, North Africa, parts of Eastern Europe area and would be on a couple or dozen rigs within the broader area. And so I think we do think that’s an attractive area. Saudi Arabia itself there is couple of 100 drilling rigs today that Saudi Aramco would be running and we do think that within that that 200 rigs we certainly are pretty ambitious about our ability to get that we’ve always said we’d like at least half of those rigs. And so, we think there is some attractive growth there. And we’ve actually added some real pace on D&A into some of these markets as well with the establishment of these operations which have allowed us to gain traction in the early days.
Sean Wetmore: Okay. Thanks. And then lastly from me, you talked a little bit about M&A and I just wanted to get your thoughts on which – where the share prices today, how buybacks might come into play a little bit with how you might deploy cash and best investments out there?
Jon Faber: Yes, I think, when we look at capital allocation broadly, M&A remains one opportunity, and the commentary around Steve's question earlier, I think there is opportunities within the energy complex that become more attractive. And notwithstanding our current share price that’s been the same story for other people in the energy complex as well. So on a relative basis, not so much is changing, if anything the ability to deploy the cash more accretively has actually increased. So opportunities have been more attractive sort of in that space. We’ve always principally believed in buybacks as a – use of capital that would be valuable to shareholders. The challenge in a very volatile market is, it's tough to really determine at what point, you sort of put opinion – your forecast for where the business is going and how does that drive your view of the value of the share price. And it’s tougher in a very volatile market to know exactly where and when you want to execute on the buybacks, but we do think that buybacks are an accretive use of capital.
Sean Wetmore: Okay. Thanks very much.
Jon Faber: Thanks.
Operator: Your next question comes from the line of Dana Benner with AltaCorp Capitals. Please go ahead.
Dana Benner: Good morning guys. I wanted to start actually come back to the issue of pricing. I understand that you’re trying to come out of it in different way, right now, more of a value based proposition. Having said that, there have been all sorts of – there is all sorts of data – all sorts of anecdotes and stories about producers coming and winning 20% to 30% across the board cuts on drilling and fracking and things like that and whether they get it or not is client's specific regions, specific et cetera. But notwithstanding a very intelligent approach on your part, I mean, it’s a fairly desperate sector out there among the E&P companies and value based approaches may not stick. So I’m just wondering if you’ve seen meaningful decrements already on pricing such that maybe you can give some more granularity or you just don’t want to comment until Q1?
Jon Faber: Well, as we’ve said earlier as Chad and Dave had both referenced in their comments, we’re of course not immune, and I think we get the same letter that everybody in the services space does in this type of a market. We would certainly try to restrict and have restricted were possible any of discounts two of those products that we believe, we were most inclined to keep active in the current environment. So, you think it’s something like the Pason Rig Display for example, where we will be more prepared on something like our rig display to keep that that product active in the market. And so to your point around – customers are going to look forward everywhere and the value based discussion is impacted. We also wouldn’t simply look at it as every product equal treatment, when we look at the pricing conversation.
Dana Benner: Okay. And then just secondly, I just wonder what coming – I understand your comments on the international market where you’re talking about broader trends and what may happen in certain regions. I’m just wondering if you’d actually seen a meaningful decline yet in any of your important regions or is this just perspective at this point?
Jon Faber: Well, if think off the international regions, the one region that would be mostly impacted is Australia, and we have seen that. But Australia not to the same levels of North America, but that would be an international market that has seen some impact already.
Dana Benner: Okay. All right guys, that’s all I have got here and all have been answered. Thank you?
Jon Faber: Okay, thanks Dana
Operator: Your next question comes from line of Kevin Lo with First Energy. Please go ahead.
Kevin Lo: Hey guys.
Jon Faber: Hi, Kevin.
Kevin Lo: Just wanted to, kind of talk about the costs in the fourth quarter, they were up sequentially from Q3 and what’s – I just wanted to see in 2015 what changes you might make on your cost structure?
Jon Faber: Sure. So one of the big costs that would have been up sequentially but also materially year-over-year of course was depreciation which is the impact of the 2014 capital program and the good percentage of the capitalized R&D would have related to VSPs ePVTs, and once that becomes commercialized for the accounting treatment, we do that straight line over three years. So that’s fairly material impact to the depreciation and amortization line. Some of the other – and of course that the impairment charge that we’ve talked about and I expect that’s not to your question at all because we know the nature of that charge. There’s always a few things in the fourth quarter, which represents accruals that have been made through the year and you end up with a true up on some accruals. And so that always happens in the fourth quarter. And then around satellite bandwidth, we did have a segment to satellite bandwidth, which came on partly through the third quarter. So in the fourth quarter we would have absorbed the full quarter quarterly costs of that piece of satellite bandwidth.
Kevin Lo: Okay.
Jon Faber: In terms of – sort of to your other question around the – how you manage them. We’ve thought a lot of our costs were fixed. And so when you look at the big sort of buckets of costs that of course salaries in field, salaries in R&D and the satellite bandwidth which we talked about, you like – I’d think of salaries in the field does our real service engine. I would think around salaries in R&D as our innovation engine, and the bandwidth as we said is fixed and it probably less relevant for the next comments, but really our view has been that continuing to make targeted investments in both service and innovation, will allow us to sort of increase the competitive gap. And so we would be reluctant at this point to do not make targeted investments in innovation and services.
Kevin Lo: Okay. Well, that’s perfect and thanks for the color. Thanks Jon.
Jon Faber: Okay, thanks Kevin.
Operator: [Operator Instructions] Your next question comes from the line of Jon Morrison with CIBC World Markets. Please go ahead.
Jon Morrison: Good morning, all.
Jon Faber: Good morning, Jon.
Jon Morrison: Not trying to beat a dead horse here, but just want to clear. On the pricing side, within North America have you made any pricing cuts to date in 2015?
Jon Faber: I’ve seen pricing pressure in North America and have made pricing cuts in North America to date, yes.
Jon Morrison: Have you seen larger cuts out of any of your competitors like NOV to date or its still early stages?
Jon Faber: Well, the behavior we would have seen from some of competitors in previous downturns is that they are always – even in a normal market Jon, our competitors under cut us and so they would be more aggressive on pricing a downturn than we would be and we have seen that behavior.
Jon Morrison: Okay. Have you seen producers more receptive to that type of behavior because of the environment that we’re in?
Jon Faber: I can’t say there is any material change. We always will lose a rig here or there on pricing gaining back on service, net dynamic doesn’t change in this environment.
Jon Morrison: Okay. On the CapEx side, can you give a little bit more color on what exactly you’re adding in terms of new hardware and how it’s different from the equipment that you wrote down in the quarter?
Jon Faber: Yes. Sure. So again the bulk of that CapEx program – a portion of it is the capitalized R&D, which is in product related that’s more the capitalization of people’s time we're working on the innovation. The portion related to equipment is primarily and almost entirely related to continued saturation and deployment of some of these products that would have started to rollout in late 2013 and 2014. And so, it is a continuation of the rollout of those programs albeit at a slower rate obviously than we would have forecasted when we were talking in the three quarter, but it’s almost entirely dominated by those new products. And then there is always some components of capital that’s you’re going to need as long as you have any rigs running and so there is a component there as well. But it’s exclusively different than the pool of assets that are – have been reflected in the impairment charge.
Jon Morrison: Jon, if the accounting rules didn’t force you to take the charge and you could just make a logical judgment about the future usefulness of those assets over a 5 to 10 year basis would have you still taken any write down in the quarter?
Jon Faber: Clearly, the economic impairment is different than the accounting impairments as you’re referencing. There are some assets in that impairment amount which reflect assets, if this continues over a period of time, which may actually be made technologically obsolete by things we have on our product roadmap. So I think if we had look at the product roadmap and where we intend to go with some new products going forward. Some of those, we may have still considered to be impaired, but certainly we think that of the assets that have impaired – they still have an economic life and a use as replacement assets going forward as the equipment that’s been utilized today, needs to be replaced. We think we’ll be able to redeploy some portion of the equipment and some of it maybe over some period of time made technologically obsolete by our continued folks on innovation and the product roadmap.
Jon Morrison: Looks fair to say that there could be a higher waiting for like the auto driller for instance and that – they’re right and then broadly across the entire product line.
Jon Faber: I wouldn’t call it that specific product is being one [ph] that would be sort of a higher piece, but it is some of the older products.
Jon Morrison: Okay
Jon Faber: They would have the higher waiting.
Jon Morrison: Can you give a percentage of Canadian and U.S. rigs that are now running the PRD if they were also running a Pason EDR at this point?
Jon Faber: Well, so the one thing that you can look at of course is the – when you expect – when you see market where the rigs slow down and you have the same amount of equipment in there, we will see increased penetration on some of these products which otherwise wouldn’t have had rigs to sit on. So, we would see – penetration go up, in terms of the specifics to the markets I would turn to both Chad and Dave to speak about their respective markets on the PRD. So may be I’ll turn to Dave first, as he want to talk about what you’re seeing for the rig display on the Canadian side.
David Holodinsky: Sure and maybe just a build on Jon’s answer, I think there’s rig count goes down, it just kind of squeeze some of the percentages, but we’ve got about twice as many rig displays, installed as our rigs running today and rig displays that are active right now are probably 90% relative to the rigs that are running. So that just goes to show how many rigs are racked, and how many rig displays we have on those rigs. But the overall penetration in the Canadian business unit, the rig displays – the rigs is very high and VSPs to – two of rigs is very high. So the modernization program has been well underway here and extremely well received by our customers.
Jon Faber: Chad, did you want to comment on the U.S. side?
Chad Yetka: I would echo the consumer sentiment at this stage just expressed, for us the PRD has two components. One is the standalone rig display and the other is a component of the ePVT solution. So taken together we have rig displays on about two thirds of our rigs at the moment and that continues to grow.
Jon Faber: Thank you, Chad.
Jon Morrison: Am I right assuming that to date the SideKick cannibalization, a cannibalization remains fairly muted with the early roll off?
Chad Yetka: So initial stages there was very, very SideKick cannibalization, I think you always would expect to see cannibalization increase as you move later stages of roll out, you’re moving away just into the fusion of technology you’re moving away from the early adopters towards later adopters and later adopters are more inclined to potentially take off the SideKick and put on the PRD but to-date it remains a bit of a surprise that how little the cannibalization has been from the SideKick, but it’s clearly higher, but today then would have been in the first month or two of the PRD just because of the types of customers that adopt later in the cycle.
Jon Morrison: Jon just from the international side you referenced Australia being a little bit slower is that the bulk of the sequential slowdown that we saw in Q4 just revenue was down about 7% quarter-over-quarter. So I’m just trying to give a sense of geographic mix what was hit the hardest?
Jon Faber: Well, I think the biggest impact actually sequentially was the one time $1.5 million payment we received in Argentina in the third quarter that would have been the biggest driver by far
Jon Morrison: Yeah.
Jon Faber: And then, in terms of Australia the activity will be slowing down but we also seen actually some pretty good expansion in revenue per EDR out of Australia. So net is actually hasn’t been badly affected sequentially, it’s really that $1.5 million one time Argentinean payment.
Jon Morrison: And really that’s early days – last one from me. But really it’s early days on the lawsuit, but you had about 10 days to more over is there anything else you can share with us at this point and have you guys actually been served with papers and can you give anymore color on the major decline.
Jon Faber: We’ve not been served yet and I would say that’s changed since the press releases we have engaged litigation council to begin talking about some of the potential approaches you might take in terms of responding when we’re served.
Jon Morrison: Okay. Appreciate the color, good quarter guys.
Jon Faber: Thanks Jon.
Operator: There are no further questions at this time. Ladies and gentlemen, thank you for your time and participation. This concludes today’s conference. You may now disconnect.